Operator: Hello, everyone, and welcome to the SmartFinancial First Quarter 2025 Earnings Release and Conference Call. My name is Andra, and I will be your coordinator today. [Operator Instructions] I will now hand over to Nathan Strall, Director of Investors relations to begin. Nathan, please go ahead.
Nathan Strall: Thank you, Andra. Good morning, everyone, and thank you for joining us for Smart Financial's First Quarter 2025 Earnings Conference Call. During today's call, we will reference the slides and press release that are available in the Investor Relations section on our website, smartbank.com. Billy Carroll, our President and Chief Executive Officer, will begin our call followed by Ron Gorczynski, our Chief Financial Officer, who will provide some additional commentary. We will be available to answer your questions at the end of our call. Our comments include forward-looking statements. These statements are subject to risks and uncertainties, and the actual results could vary materially. We list the factors that might cause these results to differ materially in our press release and in our SEC filings, which are available on our website. We do not assume any obligation to update any forward-looking statements because of new information, early developments or otherwise, except as may be required by law. During the call, we will reference non-GAAP financial measures related to the company's performance. You may see the reconciliation of these measures in the appendices of the earnings release and investor presentation filed on April 21, 2025, with the SEC. And now I'll turn it over to Billy Carroll to open our call.
William Carroll: Thanks, Nate, and good morning, everyone. Great to be with you, and thank you for joining us today and for your interest in SMBK. I'll open our call today with some commentary and hand it over to Ron to walk through the numbers in some greater detail. After our prepared comments, we'll open it up with Ron, Nate, Rhett, Miller and myself available for Q&A. So let's jump right in. Another very nice quarter for us as we kick off 2025 and continue executing on what we've been messaging. The start of the year has been a bit more volatile than any of us would prefer and while the uncertainty is making it a little more difficult to plan longer term, we're not letting that deter us from our objectives. As you'll hear on this call, this company is continuing to execute, and we're remaining very bullish on where we're headed. For the quarter, we posted net income GAAP and operating of $11.3 million or $0.67 per diluted share. I continue to be very proud of the way our team is performing, and I'm excited to watch us gain operating leverage as we've anticipated. Jumping into the highlights. I'll be referring to the first few pages in our deck. First, and in my opinion, one of the most important metrics, we continue to increase the tangible book value of our company, moving up to $23.61 per share, including the impacts of AOCI and $24.76 excluding that impact. That's over 9% annualized quarter-over-quarter, excluding the AOCI movement. Looking at the graph on the lower right on Page 5, you'll see the value increase we continued to deliver for our shares. On balance sheet growth, we had a very solid start of the year. On the loan side, we grew at 9% -- at a 9% annualized pace for Q1 right on top of our expectations as our market teams are continuing to add outstanding new relationships. On the deposit side of the balance sheet, growth was also sound at 10% quarter-over-quarter annualized. While we did have some mix shift, which is common for the first quarter of the year, I was pleased with the team's focus on bringing in new deposit clients.p Ron will provide some more detail on that in a moment. Our history of strong credit continues with the metric at just 19 basis points in NPAs, Credit is always a focus for our company, and I'm proud to see these numbers continue at exceptionally low levels. Total revenue came in at $46.8 million as net interest income continued to expand as we had anticipated. We also had another very nice noninterest income quarter. Noninterest expenses held to the same level as last quarter at just over $32 million. I feel we continue to hold expense growth to very reasonable levels during 2025. That operating leverage we've talked about is happening as we continue to grow the revenue line with manageable investment on the expense. Looking at the charts on Pages 4 and 5, you'll see very nice trends. All of those charts are great graphics to illustrate what we've been messaging, and I look forward and are expecting to see those trends continue. So just a couple of additional high-level comments for me on growth. We have executed well over the last several quarters, and it is a direct result of the outstanding work of our sales teams. In regard to loans, a nice start to the year, particularly after posting outsized growth in Q4. As I stated, we grew our loan book at 9% annualized quarter-over-quarter. The sales momentum in our company is very good and it's balanced across all regions. Our average portfolio yield, including fees and accretion was 5.97%, down just slightly from Q4, but still very solid after absorbing the fourth quarter Fed rate cuts and new loan production continues to come on to the books accretive to our total portfolio yield levels. In regard to deposits, I mentioned it a moment ago, I'm very pleased with the deposit growth we've seen. Particularly during a quarter where we normally see some seasonality. Our loan-to-deposit ratios held from year-end at 83%, which is a nice spot for us and the strong position gives us continued flexibility to leverage that strong deposit base. Our balance sheet pipelines continue to feel solid. I'm holding to our past guidance of mid- to high single digits on growth as we look forward. And I also think we can pace deposits organically to fund this growth. So all in all, a very nice way to start the year. I'm going to stop there. I'm going to hand it over to Ron and let him dive into some additional details. Ron?
Ronald Gorczynski: Thanks, Billy, and good morning, everyone. I'll start by highlighting some key deposit results. During the quarter, we achieved non-brokered deposit growth of $114 million, over 10% on an annualized basis, resulting in a loan-to-deposit ratio of 83%. The weighted average cost of nonbroker production was 3.39%. Total interest-bearing costs decreased 10 basis points to 2.92% and were 2.96% for the month of March. The composition of our deposit portfolio remained largely stable with a minor reduction in noninterest-bearing deposits. As noted on the last call, there were some transitory noninterest-bearing deposits included in our year-end totals. Coupled with a few clients utilizing some excess cash liquidity throughout the quarter, we finished with an average noninterest-bearing to total average deposit ratio of 19%. Net interest margin was 3.21%, slightly down from last quarter, but in line with our previous guidance. Our loan portfolio experienced a favorable 7.29% weighted average yield on new loan originations. However, the impact of those originations were offset by the full effect of the prior quarter rate cuts resulting in a decrease to our loan -- total loan portfolio yield of 7 basis points to 5.97%. Additionally, we experienced an elevation in our liquidity levels from our deposit growth, which also impacted our margin. Despite having 2 fewer days in the quarter, net interest income increased by $455,000 with our average interest-earning assets growing over $185 million, which was primarily driven by our net balance loan growth during the quarter. With our sustained low loan-to-deposit ratio, we remain in an advantageous position to fund our loan production. Looking ahead, we anticipate 2 to 3 basis points of margin expansion quarterly throughout 2025. While we expect our overall deposit portfolio cost to increase throughout the year, primarily from higher cost of new production, our new loan production, coupled with the amortization and maturities of our lower-yielding fixed and adjustable rate loans will drive margin expansion. With these factors and given current market conditions, we are forecasting a second quarter 2025 margin and a 3.25% range. Our quarterly provision expense for credit losses totaled $979,000 primarily due to increased loan growth. Net charge-offs to average loans were 0.01% on an annualized basis. Overall, the bank's asset quality remains strong with nonperforming assets to total assets at 0.19% and the allowance for credit losses remained steady at 0.96% of total loans. Operating noninterest income for the quarter totaled $8.6 million, which was above our guidance. The outperformance was primarily driven by stronger than forecasted insurance and mortgage banking revenues, along with continued strong activity from our Capital Markets group. Operating expenses were $32.3 million, unchanged from the previous quarter. There were slight positive and negative movements within several expense categories, but overall, we were pleased that we held expenses flat quarter-over-quarter. Noninterest income growth and expense containment continue to be primary objectives as we focus on fully leveraging our infrastructure. For the second quarter, we are forecasting noninterest income in the low to mid $8 million range and noninterest expense in the range of $32.5 million to $33 million, with solid benefit expenses in the range of $19.5 million to $20 million. It is important to note that accruals for incentive-based compensation will fluctuate based on performance and may vary throughout the year. Our effective corporate tax rate for the quarter was approximately 17%. Despite some fluctuations since the establishment of our real estate investment trust, we anticipate our tax rate will stabilize and are forecasting an effective tax rate between 18% to 19% going forward. I will conclude with capital. The company's consolidated TCE ratio increased to 7.6%, and our total risk-based capital ratio remained well above regulatory well capitalized standards at 11.2%. Overall, we believe our capital ratios remain optimally balanced to continue to support growth while maximizing returns on equity. With that said, I'll turn it back over to Billy.
William Carroll: Thanks, Ron. I want to reiterate again the value proposition with our company. Drawing your attention back to Page 7 of our deck. We are successfully moving into the leveraging phase of growth for our company. We're seeing the inflection in the movement in our numbers, and we have a clear vision of our return targets after absorbing the investments we've made. We're building a great franchise. We're in arguably some of the best and most attractive markets in the country and have put together a team that is rapidly moving us forward. You've heard me say before, and I believe this, we are one of the broadest stories in the Southeast. Outstanding markets, strong experienced bankers, coupled with just as experienced and strong operational and support team, along with some great complementary business lines. We expect the rest of 2025 to have a similar look as we focus on continued growth in our EPS line and hitting our near-term revenue and return targets. I also wanted to make some comments on talent acquisition. One of the areas where we are focusing and one that I continue to be very excited about is our ability to recruit outstanding new team members. The majority of the expense growth in our company in the coming years should come primarily from talent-related expenses, along with some appropriate investment in our platform. On adding revenue-producing team members, we have brought on 5 over the last couple of months with this specific group targeted with just private banking and treasury management areas. We focused here to complement on some of the [indiscernible]  we focused here to complement some of the commercial banking talent we added in 2024. We are always looking to add revenue-producing associates that fit with their culture, and we have several currently in our talent pipeline. I believe we are included in a very small handful of banks that have built a culture where outstanding regional bankers want to work. We will continue to look for these organic growth opportunities and remain very focused on recruiting. So to summarize, I love where we're sitting. We are executing, growing that revenue line while staying prudent on expense growth, even while dealing with a little bit of uncertainty in the economy. We remain optimistic around our margin as new production stay strong and as we see the tailwind coming from the rate resets in our loan portfolio over the next couple of years. Credit continues to be very sound and we're seeing great new client acquisitions with sales energy that is outstanding. All said, a great way to start the year for our company as we continue to build a profitable and attractive franchise. Also want to take an opportunity to welcome our newest Board member, Kelly Shewmaker. Kelly is the CFO at Auburn University brings a great skill set to our Board and gives us great perspective throughout Alabama and the entire Southeast. So Kelly, welcome. I also appreciate the work of our SmartFinancial and SmartBank team in the efforts of our over 600 associates. I'm very proud of the work that we have going on here at SMBK. So we'll stop there and open it up for questions.
Operator: [Operator Instructions] Our first question comes from Stefan Scouten with Piper Sandler.
Stephen Scouten: Really good quarter. It seems like things are all kind of moving in the right direction now, which obviously is a little bit different from what the market is trying to tell us. Can you talk a little bit about what you're seeing at a ground level with your customers, kind of what customer sentiment looks like and why you would continue to have belief around that ability to hit that loan growth kind of strength of your markets a little bit more would be great, Billy.
William Carroll: Yes. Stephen, I'll start, and then I'll ask Rhett to chime in as we trying to stay pretty close to clients, steering a little bit of the volatility that we've experienced. But overall, again, it kind of goes back to markets. Our markets just continue to be really strong. We're talking to a lot of clients, staying plugged in. Obviously, you've got a lot of conversation going on around tariffs, which are we going to have them? Are we not? It's really a back and forth. But as we talk to our clients, their businesses all seem to be doing well. And I think it's -- I do think they're going to continue to watch and be cautious. But I still feel good about our prospects to grow at the pace that we've given. It's -- it really is one of those things that we feel pretty excited about where we are. A lot of it is continuing to add business coming from these team members that we've added over the course of the last several years. So we're bringing in business that's seasoned. We're bringing in businesses that have been around for a long time. And I think all those things bode well for us and our ability to continue to grow. But Rhett, you might give some color. I know as you guys have talked a little bit with our credit team members and our production team members about client take on the current environment, do you want to give some color there?
Rhett Jordan: Sure. We did -- as to Billy's comment as those tariff matter unfolded, we reached out to plants that were either in specific industries that we felt like might have a higher impact or if we were aware, had some degree of international component to the receivables, suppliers, et cetera. And the overall feedback we've got has been really optimistically positive in regard to expected impact both of them are providing us commentary that they're not seeing any degree of decline in order volume, they're not expecting any significant changes in pricing in the near term, either from the supply side or certainly nothing that they don't feel like they would be able to continue to, for like a better word, pass through in their normal operations of the business. So we don't, at this point in time, feel like it's a major deterrent for our client base. So we don't have a lot that would have been directly impacted and so it seems at this point in time to be. I think there's a little bit of a wait-and-see perspective from a lot of them. But thus far, with what we have gotten feedback on, it seems to be really [indiscernible]
William Carroll: [indiscernible] want to make a comment?
Wesley Welborn: Yes. Stephen, this is Miller. I also want to add, this is a secondhand information or anecdotal information that we're gleaning from other people. I can't stress enough about how hand zone our market leaders are and our executive team is envisaging these different markets and how many different clients -- current clients, prospective clients, we have been in front of on a continual basis. And we do that all the time. It's not just this past quarter. I mean we are very visible in our markets and have, I believe, first-hand real-time knowledge of where these markets are, and they are all performing pretty [indiscernible] strong.
Stephen Scouten: That's great. That's helpful color guys. And then -- how should we think about expectations around maybe levering up the balance sheet from here? I mean a lot of room in the loan-to-deposit ratio in theory, but just kind of wondered what your level of comfort is of taking that appreciably higher kind of the securities book balance there and just kind of the moving parts around balance sheet trends where you see the mix going?
William Carroll: Yes. It's a good question, Stephen. We've got some space. I think we're the words that we use around here is really -- it's just good, strong prudent growth. I do think we're seeing competition. We're seeing some different structure and rate competition. We've kind of held and stuck our guns on rates and structure. We've seen -- we've seen a little bit of pressure in some of those areas. And I think as we go through the year, especially if growth is a little bit softer I think we could see us -- that's the reason I think we've tried to hedge kind of that mid-to-high singles as far as their growth goes. I think we've got a team that could really produce. But at the same time, we want to make sure that we're putting on we're putting on business that's getting us the right return level that it's structured with the appropriate loan and credit structures we want. So again, I really like where we're sitting because we're getting growth. We're getting it the way we want it. And we do have the ability to kind of keep our foot on the accelerator a little bit if we want to. But at the same time, I think we can get the growth that we want and continue to hold to the return targets that we want -- that we set out to do. And Ron, I don't know if you want to talk a little bit about just kind of the utilization of the kind of the cash and what you're thinking there?
Ronald Gorczynski: Yes. I think at this point, we're pretty solid on our investment percentage of assets we are setting out a little extra cash as I said, probably about $150 million more that we could lend out of the cash portfolio. So we'll probably see some mix shift going forward on the balance sheet, but nothing drastic. We're in a pretty good position, as Billy said, to fund our loan growth. So not much more.
Stephen Scouten: Okay. Extremely helpful there. And then just last thing for me. Obviously, volatility for the industry has taken stock prices down significantly, your stocks back down to about 120 intangible book, give or take. How do you think about share repurchases at these levels? And can you remind me what your authorization might look like today and just kind of the priority of that versus other potential capital actions?
William Carroll: Ron, do you want to.
Ronald Gorczynski: Yes. For the authorization, we have about $1.5 million left to purchase. So we're on the back side of it. Once we get near that level, we'll probably get. We'll start talking about repurchasing more over that.
William Carroll: Yes. And Stephen, just for us, I mean, traditionally, when we've looked at that, obviously, the old sector is kind of, I think, in a pretty good spot from a valuation standpoint with a lot of upside potential. But we've typically not look to buy back until we get a little bit closer to that book value number that's been traditional with us, that's probably kind of where we are. So probably kind of stay here right now, but we are positioned to do some purchases if we need to.
Operator: Our next question comes from Catherine Mealor with KBW.
Catherine Mealor: I wanted to start maybe just on the margin. And just to see how we should be thinking about if we do start to see the Fed cut rates at the June meeting how that could impact your guidance assuming the 2 to 3 bps of NIM expansion per quarter, just kind of curious what that means in terms of the Fed back drop? And if that is better or worse if we see more or less cuts.
William Carroll: Ron, do you want to take that?
Ronald Gorczynski: Yes. Catherine, being slightly liability sensitive, we're pretty much matched. We see for Fed cuts, we will benefit from it slightly. We don't have material movements from any of these either down or up. So we're pretty good positioned. We gave guidance on thinking it's going to be probably in the September range that we'd have a rate cut. But I think we'll be pretty much neutral but benefit on the rate cut down.
Catherine Mealor: Great. Okay. So if we get earlier cuts in September, there could be a little bit of maybe upside of that 2 to 3 bps expansion.
Ronald Gorczynski: Probably -- yes, yes, it will be. We did it earlier than September, correct.
Catherine Mealor: Okay. Okay. Great. And then you may miss or talked about it in the beginning, but I might have missed it. In terms of new loan pricing, can you talk about what that looks like I hope we've heard anecdotally, that's become a lot more competitive over the past few months. I'm just kind of curious what you're seeing on loan pricing today.
William Carroll: Yes. Ron, where did we -- what did we -- I guess, what would we have new production for the quarter?
Ronald Gorczynski: For the quarter was 729.
William Carroll: And then Rhett, I think as we look on the pipeline, again, I spoke about this, we we're still coming in around that 7% number, Catherine. That's kind of what we've got in the pipeline currently. Now that's obviously a mix of fixed and float but coming -- or fixed and flow, but coming in at around 7%. We feel pretty good about that 7% plus/minus number a little bit. We are seeing -- we're seeing some -- a little bit more competitive pressure in the markets. As I spoke with our last question, we've been able to kind of hold and stick to our guns on the pricing and structure that we want, and it's not really deters from getting to growth. So we're going to try to keep -- we're going to try to keep keep holding that pace at that plus/minus 7%. But it wouldn't surprise me to see as we continue through the year, with folks really pushing and stretching for some growth that we can see that number kind of come down a little bit. So I think we're okay in the 7%-ish range here near term, but TBD on what that looks like as the year goes forward.
Rhett Jordan: You're dead on to. We are hearing and seeing some competitors really pushing some pricing and getting [indiscernible]  Competitive out there.
Catherine Mealor: And then on the deposit side, it feels like that's -- that continues to be a better story. So maybe your net margin for new incremental growth is still -- kind of where are new deposits coming on about right now?
William Carroll: Yes, Ron, where do we come in?
Ronald Gorczynski: The CDs were coming in around 350, 360-ish money markets, probably very similar. Other than that, we've been quite fortunate we've been pretty stable. We're looking at 2 to 3 basis points of it, again, growth in the deposit costs quarter-over-quarter. But dependent of the market movement of our competitors, we're seeing it really pretty relaxed at this point, the uptick.
Catherine Mealor: Great. Okay. So still new production for both loans and deposits combined is still kind of coming on higher than your current 3.20% margin, which is great in that kind of thing. The outlook for the margin and continue [indiscernible] Great.
William Carroll: Yes. No, you're right, Catherine. Yes. Net-net, we're still coming in accretive to where we are today on new.
Operator: Our next question comes from Russell Gunther with Stephens.
Russell Elliott Gunther: I wanted to spend a minute on expenses trend is really good and you guys gave us a near-term look at how that's expected to go. But maybe just bigger picture as you think about the rest of the year, how are you expecting the trajectory to progress? And then -- is there anything underlying the strong results in terms of the specific expense save initiative? And if not, is that something contemplated in how you're thinking about the overall growth rate for the year.
William Carroll: Yes. Let me start with just some kind of high-level comments. And then Ron, if you want to maybe dive into that in a little more detail. Russell, for us, and I think Brad both kind of said it in our comments. Yes, I think for us, we have really, really focused on trying to get this expense line to be fairly stable. Obviously, we're going to have some growth, but I do think all of that is manageable when you look back last year, we still had some new branches that were coming online, we were adding some staff to staff those and some of that. So when you look at the growth that we had last year, it was a little more but a lot of that was just kind of -- there's some net new branches, net new teams that we needed to have. I think for us now, we're really not looking to do any of that. I think most of the investments that we've made in all these markets with the teams has been done. We are seeing incremental growth that we had, as I alluded to, as we continue to recruit some new team members, particularly on the revenue-producing side, we'll see a little bit of growth there. Our tech spend is relatively stable with a little bit of new potentially coming on. But although I think that's the reason it gives us some confidence that our expense growth could be fairly stable. As we look out over the next couple of quarters. But Ron, I mean, why don't you dive in and go a little bit deeper on any of those specific lines.
Ronald Gorczynski: Yes, I'm actually going to go back to last quarter, we gave guidance that we should see expense growth in the 2.5% to 3% range. And our guidance still stands. I mean we're able to control our expenses without impeding our growth. So we're in a good shape. We're not looking at really going to hold our expenses within that band. So again, going forward, we'll -- we should be able to achieve that.
Russell Elliott Gunther: Got it. Okay. Super helpful. And I appreciate the context. And then just switching gears, last one for me. And you touched around it broadly. But as we think about the potential impact from tariffs a lot of good granularity in your deck around the loan portfolios. But I would love to get a sense for anything that you're paying closer attention to today that may have borrowers with some outside exposure to the tariff volatility that's going on? And if you could size up what that exposure would be.
William Carroll: Yes. And Rhett I'll ask you to kind of chime in as well. I don't think -- I think we -- we kind of looked at it fairly broadly, Russell. I don't think there's any particular area that we're focusing on more than others. We do -- I would say probably if there's an area that we have, we've still got a little bit of -- get a little bit of truck and get exposure through our fountain subsidiary that those -- those are typically smaller credits. We also have -- we've done a lot with our dealer floor plan. We've got some auto, got a little bit of auto exposure, both on dealer side as well as the manufacturing side. We're staying close to those those suppliers getting kind of getting their take on the way they see these tariffs playing out. Those are the first 2 that come to mind to me, Rhett . I don't know if there's anything that you want to add add to that if there's anything that you think might warrant a little extra attention.
Rhett Jordan: No, I think those are certainly 2 of the primary ones that we have on the radar spring. And then just the other side of that is, as I mentioned earlier, clients that we know have any degree of primary supply chains we're seeing more clients that are international in format. We're staying in touch with them just to see if and when they start seeing any changes coming either from their supply side or from their client order volume that and then I guess on the back side, we're also just keeping an eye on any impacts that tariffs to have on, I'd call it broader-scale scenarios like construction materials, things of that nature that could impact some construction costs, things of that [indiscernible]
William Carroll: But also the thing that's good to add here is that we being a stronger credit bank as we are and always being a credit-first bank I don't know that we're looking at these any stronger than we do every quarter in every segment of the bank. I mean we are highly engaged in the credit process and the credit of our client base.
Operator: Our next question comes from Brett Rabatin with Hovde Group.
Brett Rabatin: Wanted to start with fee income. And if I heard the guidance correctly, it was low to mid-8s for 2Q. And within that, I wanted to see maybe your thoughts on investment services and insurance and where those businesses might trend kind of given their 1Q performance and anything else that might be keeping the fee income fairly flattish from here?
William Carroll: Ron, I'll take a stab. I know just kind of high level. Obviously, with the investment side, a little -- with a little more fee-based business, you get a little bit of an AUM drop with market held back. So some of that recurring fee might be a little bit lower. Q1 is typically a pretty strong quarter for our insurance group. We've got typically contingency revenue payouts occur there in Q1. So we had a little bit more there. So those 2 items probably helped bolster the first quarter a little bit more Brent than normal. But Ron, anything else that you want to -- anything else that you want to touch on?
Ronald Gorczynski: Yes. The only other item that we should see an uptick going forward is our mortgage banking revenue. We are looking at hiring lenders in that space. So that's probably one that will be more variable going forward. Other than that, we just have built a steady cash flow here on our income.
Brett Rabatin: Okay. That's helpful. And then I wanted to go back to the mid-to-high single-digit loan growth and just looking at the first quarter, a lot of the growth was in commercial real estate wanted to see what the appetite was for C&D from here? And then just any thoughts on the C&I book? And if there's any visibility of pull-through with that or if the that's the one area that's hard to predict with the tariffs and whatnot.
William Carroll: Yes. I'll Rhett kind of chime in on just kind of the way our production pipeline is looking from a split standpoint. But overall, we still are maintaining a fairly balanced approach to our growth. And I think and Rhett can give you some details on pipelines and where we think it's come. But it's probably going to mirror kind of where we are from a percentage as it sits today. I don't think there's one particular sector that we're leaning into any heavier. Obviously, we look to grow that C&I book as much as we can. But we've had some good opportunities with some real estate. We've been able to take those over the last couple of quarters, too. But Rhett anything on kind of pipelines and how you see the pipelines breaking down?
Rhett Jordan: No, Billy , I mean you hit it. You look at our pipeline as it sits today, just the mix of what's out there. It's very similar to, I would say, what we have been seeing for the past several quarters. It's a very -- it's diverse geographically. It's diverts across our product mix as broken down in the deck. Nothing that really fast in our pipeline is going to sweep us 1 way or another in regards to mix. We've got -- we do have some [indiscernible] in the pipeline, but it's pretty spread across the footprint. We're still continuing to see good demand, supply and demand metrics across our market areas for both for housing and for development on the commercial side as well. So I mean it's still a pretty -- it's still in line with what we have historically been seeing for the past number.
Operator: Our next question comes from Steve Moss with Raymond James.
Steve Moss: Wanted to ask about the -- on the revenue side, you guys have talked about $50 million by the fourth quarter '25, I guess, just given where the margin is, the loan growth you guys have had in fee income shaking out where it is seems like the third quarter is probably a reasonable crossing point in your estimation these days?
William Carroll: I'll let Ron answer that. Steve, we're trying to -- We're still holding a harder part, Steve. We talked about a... I will say, our trends are good. I guess the caveat is just kind of what happens especially as you get into the second half with growth and with rate. So yes, there's still a little bit, but kind of based on what we have built in their forecast, we still think kind of that fourth quarter number is and that's really kind of what we said. We've reiterated it on these calls. We've reiterated it around our team. But again, this was a year that that we really wanted to kind of get -- get these numbers where we needed them to be, leveraging everything that we've built over the course of the last built and bought over the course of the last several years. And so all that is playing out, and we're just kind of keeping our head down, grinding through. And hopefully, we get there a little bit faster, but we're still holding our guidance.
Steve Moss: Okay. I figured I'd ask. In terms -- on the credit front here, I take it that -- are we pretty much through the charge-offs on the fountain portfolio charge-offs in quite well the last 2 quarters and obviously, starting to impact the provision expense here.
William Carroll: Yes. Rhett can kind of speak to that. I think we're getting closer, but you want to dive into what we're seeing in [indiscernible]
Rhett Jordan: [indiscernible]  Might be a strong statement, but I certainly think we have seen a slowdown as you see in the numbers. We were certainly seeing a direct slowdown, and we're optimistic prior to some of what we've been talking about a little bit earlier on potential impact, depending on the longevity duration of size and such of the tariffs and how the foods might impact just the supply chain and smaller transportation operator. So we don't believe it will be at a pace like we saw last year. But I do believe we'll still have a few stragglers sharing there that we'll be dealing with as the year goes on. But we don't anticipate it to be in line with what we saw.
William Carroll: Yes. The team has done a good job Rhett and our founding team have done a really nice job of trying to manage through that. And it's still all relatively small in the overall scheme of things, but that is -- we're still working through a couple of those. I may see a little bit more, but -- but hopefully, that is coming to an end here relatively quickly.
William Stuart Lotz: Got it. Appreciate that. And then just 1 other thing, maybe just on the M&A front here. Just kind of curious if you guys have any updated thoughts around doing a deal it seems like organic growth is going pretty well. So maybe that's on the back burner, but I just want to take your temperature there.
William Carroll: Yes. It is interesting. And obviously, with the valuation pullbacks that may have changed some different folks off. But for us, we're still just kind of head down focusing on our organic strategy. That's where we are. That's where we want to be. Obviously, we deals pop up, we get called or asked about them. But there's nothing really that we think is going to really greatly deter us from just kind of hitting this organic stride that we at going over the next little bit. That's where -- that's 1A. Obviously, look for anything that made a lot of sense. But for us, it really is primarily focused on adding talent and growing organically right now.
Rhett Jordan: Yes. I would say organic is probably 1a and 1b. Based on the way the currency is it would be hard to do a deal, but we're always looking and always interested, but it's it's organic today.
Operator: [Operator Instructions] Our next question comes from Christopher Marinac, Janney Montgomery Scott. Christopher, your line is now open. Please go ahead.
Christopher Marinac: I just had a quick question on equipment financing and finance leasing. And just curious on that business line was you do more there? And are you happy so far with the results looking back on the transaction several quarters ago.
William Carroll: Yes. That's a great question, Chris. And I'll stop and Rhett kind of oversees that line. for us. I'll let him chime in too. But the short answer is yes. I mean it's a -- it's been a great business line that we added. When we bought it -- when we bought one, and it's -- we've kept it and we've been able to grow it from mid-$50 million outstanding now to about $140 million over the last little bit. And so the growth that we've had the yields that we've had, it has been a really, really good transaction. And so we really like it still like it. Yes, you took a little -- a couple of little bumps with some of the trucking business as we kind of look back last year. But even factoring that into the equation, this has been a very, very good acquisition for us. So we like it. We've been a little more selective in the trucking credits that we've added over the course of the last little bit. We pulled back in that area in that particular segment. But overall, we've been very pleased with it. I don't want any color as to kind of add and talk a little bit about kind of where we see the growth coming moving forward.
Rhett Jordan: Yes. No, Bill, thank you I mean for purposes of the general question, Chris, I would say yes, absolutely. I mean I go back to Billy's point, I mean, we did -- we have grown the portfolio segment considerably. We have added some talent there as well. And we'll continue, just like we do on the bank side, when we find a very seasoned, very strong producer in that space, we will look to bring them on or have we made some adjustments we here or there on some credit profiles, kind of what our general metrics are for credit standards on what we book new yes. It is a somewhat concentrated line of business. I mean we do have concentrations in transportation construction predominantly, and we would be expected in the Equipment Finance segment. But when I think about would would I continue -- what I've done the transaction again or what I continue to seek to grow it. I kind of look at that as a bottom line factor. And from that perspective, absolutely, it's still a profitable loan of business for the bank continues to be, and we have a very positive outlook for.
Christopher Marinac: Great. I appreciate it. Just a quick follow-up on M&A, just going a little deeper than prior question. Would you ever consider doing a deposit kind of based acquisition where the lending market may not be attractive to you, but the deposits would be and might be smaller institutions smaller than you looked at in the past? And is that at all possibility as the next several years develop?
William Carroll: Yes. I think we would. Obviously, deposits in today's world, as we all know, the deposit piece of these equations is really important. We've got some great. The good thing about it, the folks that we've added over the last several years are great generators on both sides of the balance sheet. And I think that's what gives us a lot of confidence in our ability to grow. We're not just hiring lenders, we're hiring really good bankers. And so what we've been able to do there. But obviously, the the lending opportunities we could probably put a little more gas on that fire. So yes, if we had the opportunity to do something like that, that would probably be since attractive. We're again, as we've said, we're really not looking to do much of that, right now, we're kind of just funding organically as we grow. But if the right situation presented itself, it would be something that we could entertain.
Operator: Thank you very much. That concludes our Q&A session. I will now hand back over to Miller Welborn, Chairman of the Board to close the call.
Wesley Welborn: Thanks, Ezra and thanks, everybody, for joining us today. We appreciate your time. We appreciate your interest and support of SMBK, and we look forward to talking to you again in the near future. Have a great day.
Operator: Thank you very much, Miller and thank you to everyone for joining. This concludes today's conference call. You may now disconnect your lines.